Operator: Good morning, ladies and gentlemen, and welcome to the Blonder Tongue Laboratories Fourth Quarter 2020 Earnings Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Ted Grauch. Sir, the floor is yours. 
Edward Grauch: Thank you. Good morning, everyone, and thank you for joining us and participating in our 2020 Fourth Quarter and Full Year Earnings Call. I'm Ted Grauch, the Chief Executive Officer and President of the company. As we give our remarks this morning, we will be discussing certain subjects that will contain forward-looking statements, including management's view of our prospects and evolving trends in the market. 
 As you know, the future is all but impossible to predict and so I caution you that actual results may differ materially from those that may be projected in our comments. We would ask you to refer to our prior SEC filings including our Form 10-K for 2019 and are filed in Q forms for the first, second and third quarters of 2020 for additional detailed information concerning factors that could cause actual results to differ from the information discussed this morning. 
 With me today are Steve Shea, Chairman of the Board of Blonder Tongue Laboratories; and Eric Skolnik, our Chief Financial Officer and Senior Vice President. Eric's remarks will follow mine and will cover our detailed financial results. All of us will be available to answer questions you may have during the Q&A session immediately following our prepared remarks. 
 As we all already know and as I have mentioned in the last 3 quarterly earnings calls, most businesses in the U.S., including Blonder Tongue Labs, have been facing a very difficult pandemic affected marketplace since March of 2020, 1 year ago. In response to this crisis in the marketplace, we made specific decisions to focus the resources of the company during the last year to complete a number of major organizational changes, R&D and intellectual property investments, product development programs and a major inventory reduction program. The acceleration of our operational restructuring in 2020 was completed in January of this year, 2021, along with work to streamline both our manufacturing and engineering processes. 
 The net results has been a lowering of the company's operating costs by approximately $940,000 during the full year of 2020 versus 2019 and additional reductions that have been implemented in Q1 2021 so far. The company's operating expenses are now reduced by approximately $192,000 per month versus 1 year ago, and we are planning to at least maintain that level of operational efficiency going forward. At least. 
 Our initiatives to complete IP investments yielded the company several patent grants in 2020 and which covered a number of unique aspects of our flagship NXG Digital Video Signal Processing platform and our DOCSIS data delivery product lines. 
 In 2020, our experienced engineering organization completed over 15 new product introductions in a wide range of data and video delivery technologies that included content security, including DRM and conditional access technologies, high-speed data delivery, advanced video transcoding technologies, the support of the latest HEVC, also known as H.265 and 4K ultra high-definition codec support in our new encoder and transcoder product lines, and technologies that we developed for specific Tier 1 telco and cable service operator requirements and that we are now shipping to those customers. 
 Across 2020, we also completed a number of targeted product cost reductions towards the goal of achieving future margin improvements. As we've stated in our 2020 Q2 and Q3 releases and calls, in April of 2020, the company was able to secure a CARES Act PPP federally backed loan in the amount of $1.769 million. These funds, along with the results of the company's inventory reduction program that improved our cash use in operating activities by $4.421 million last year together, taken together, enabled the company to implement and complete the other programs that I've mentioned. This included substantial organizational changes that carried onetime costs of approximately $220,000, as well as the implementation of our major intellectual property investments and all of our engineering and product development initiatives that I've already discussed. 
 During 2020, the company additionally directed sales efforts towards expanding direct relationships with telco, cable and fiber optic-based service operators. That work yielded an increase in our overall service operator relationships of over 35% year-on-year, and the company also added 4 new integrator and distributor relationships last year. 
 Although the first quarter of 2021 has presented some of the same challenges as 2020, all of these investment decisions and the significant progress in 2020 were designed to prepare the company to emerge from the COVID-induced pandemic stronger and better prepared for growth opportunities throughout the remainder of 2021 and beyond. 
 We believe that a major indicator of the fundamental change in the company's structure and strength is indicated by the reduction in cash used in operating activities last year, while managing the company with a 17.5% reduction in sales last year in 2020. The company had a negative $3.212 million in cash used in our operating activities in 2020 versus a negative $6.538 million in cash used in operations in 2019. 
 At this point, I would like to pass the floor to Eric Skolnik, our Chief Financial Officer, to cover the detailed financial results for the fourth quarter and the full year of 2020. Eric? 
Eric Skolnik: Thanks, Ted. Blonder Tongue Laboratories, Inc.'s net sales decreased $718,000 or 14.2% to $4.327 million for the fourth quarter of 2020 from $5.045 million for the comparable period in 2019. Net loss for the 3 months ended December 31, 2020, was a loss of $2.413 million or 23 loss -- $0.23 loss per share compared to a loss of $3.842 million or a $0.41 loss per share for the comparable period in 2019. 
 The decrease in sales is primarily attributed to a decrease in sales of our DOCSIS data products, digital video headend products, HFC distribution products and our NXG IP Video Signal Processing products, offset by an increase in our sales of our transcoder products. 
 Sales of DOCSIS data products were $420,000 and $828,000. Digital video headend products were $1.004 million and $1.232 million. HFC distribution products were $364,000 and $637,000. NXG products were $135,000 and $378,000. And transcoder products were $606,000 and $38,000 in the fourth 3 months of 2020 and 2019, respectively. 
 For the year ended December 31, 2020, net sales decreased $3.463 million or 17.5% to $16.379 million in 2020 from $19.842 million in 2019. The net loss for the 12 months ended December 31, 2020, was a loss of $7.474 million or a loss of $0.76 per share compared to a $742,000 loss or an $0.08 loss per share for the comparable period in 2019. 
 The decrease in sales is primarily attributed to a decrease in sales of digital video headend products, DOCSIS data products, contract manufacturing products, HFC distribution products and analog video headend products, offset in part by an increase in sales of transcoder products. 
 Sales of digital video headend products were $3.607 million and $6.714 million. Sales of DOCSIS data products were $2.227 million and $2.817 million. Sales of contract manufactured products were $145,000 and $602,000. Sales of HFC distribution products were $2.133 million and $2.509 million. Sales of analog video headend products were $1.232 million and $1.532 million, and sales of transcoder products were $1.543 million and $71,000 in 2020 and 2019, respectively. 
 The company's primary sources of liquidity have been its existing cash balances, cash generated from operations, amounts available under the MidCap Business Credit LLC revolving credit facility, otherwise known as the MidCap facility, the proceeds received from a PPP loan, amounts available on its subordinated loan facility and cash generated from the private placement of common stock. The company has completed all available draws under the current terms of the subordinated loan facility. 
 During 2020, the company received approximately $1.769 million under the PPP loan, approximately $900,000 under the subordinated loan facility and approximately $812,000 in net proceeds from the private placement of common stock. 
 Our ability to continue as a going concern is dependent upon our becoming profitable in the future and have been access to sufficient capital to execute our business plan and to meet our payment obligations on our debt financing arrangements and other financial obligations when they become due. 
 On a going-forward basis, the company expects its primary sources of liquidity will be its existing cash balances, cash generated from operations, and amounts available under the MidCap facility. 
 The company also may seek to raise additional capital through the issuance of shares of common stock or other securities convertible into or exercisable for shares of common stock, although the company cannot provide any assurances that this type of additional financing will be available on reasonable terms or at all. 
 The company had approximately $609,000 and approximately $800,000 availability for borrowing under the MidCap facility as of December 31, 2020 and 2019, respectively. 
 We currently plan to apply for forgiveness of the PPP loan during April of 2021 and believe that our use of the PPP loan proceeds will meet the conditions for forgiveness. If our application for forgiveness is not approved, in whole or in part, we may be required to use a substantial portion of our available cash and our cash flows from operations to pay interest and principal on the PPP loan, which will limit the funds available to us to operate our business or otherwise adversely affect our financial condition and results of operation. 
 The company plans to file its annual report as soon as practicable but not later than December 31, 2021 -- excuse me -- pardon me, March 31, 2021. In the annual report, the company expects that the report of its independent registered public accounting firm will include an explanatory paragraph cash going concern. 
 Although the company has actively taken steps to address operating expenses and liquidity, there could be no assurances that these actions and others as the company intends to take in the future will be sufficient to address the concerns related to the Explanatory Paragraph-Going Concern. 
 Now I'd like to open up the call to the question-and-answer session. 
Operator: [Operator Instructions] Your first question is coming from Dave Cole. 
Unknown Shareholder: Not calling on behalf of any company. I'm a shareholder. And I had a few questions. First, what is the likelihood that you're going to meet NYSE American listing requirements to regain compliance? 
Eric Skolnik: Do you want me to answer that, Ted? 
Edward Grauch: Yes. Go ahead, Eric. 
Eric Skolnik: Yes. I apologize. We're -- because of COVID, we're not all in the same location. So it's hard to get visuals, I'm sorry. We have a current plan in place. Obviously, we cannot give any assurances at this time. But as of right now, we have a plan in place that the NYSE American has granted us to become compliant by December, I believe, it's 10th of this year. So. 
Unknown Shareholder: Yes. Does it look like you're on track to regain compliance? Because I'm not sure what the plan is. I haven't seen it posted anywhere. And I checked NYSE. Is this public? Is it something... 
Eric Skolnik: No, it's not public information. No. 
Unknown Shareholder: Okay. And with the -- I mean, I'd like -- what I heard, but I didn't really see anything about the growth of the products and what the reason for the drop in sales of some of the DOCSIS and other products, is that because of competition coming into the market? Or the technology is becoming obsolete? And whether the transcoder products has sustainable sales to carry the company through and have more growth to regain the compliance? 
Edward Grauch: Sure. Thanks, Dave. So I'll answer that last part of the question directly, and this is Ted. So from what we have seen, and I've covered this on the last couple of quarterly calls, I've been personally pretty amazed at how closely our growth or shrinkage of sales corresponds directly to the general sentiment that's been out there since March of last year, related directly to the impacts of COVID on our customers either being locked down or opening up, closing or opening, and they're being active -- activity of people being able to -- people who work for our customers being able to go out there and install new equipment and service places that are on the field and service operators that are letting their technicians go out and make updates and changes and check on equipment. 
 So it's a very, very -- at least what I've seen so far since March, we now have 12 months of data. When things have opened up, we've seen a dramatic and very quick week-on-week, positive or negative change in our sales. And so that has led me to believe that the specific impact on things like our DOCSIS product line, on our NXG and some of our other headend product lines, they seem to be directly related to simply people locking down or opening up. And so we personally -- I don't see it being -- those changes being directly competitive related at all. If anything, we're seeing that we're potentially gaining some market share against some other -- of our competitors because they've been affected more harshly than us or they may have not prepared for some of the supply chain disruptions, we can talk about in this Q&A session, that are hitting some parts of the industry that are not currently affecting us. 
 We're able -- we're open for thus enable to produce all of our products today, which some of our competitors are not able to do because of some of the chipset shortages that are out there. 
 So we don't think it's a competitive issue. We think it's entirely -- again, from the data that I'm seeing, it seems to be directly related to the activities of our customers to shut down or open up based on what they see as the general sentiment and their ability to function based on the situation with COVID in their particular locations. 
 But maybe to finish up on the other part of your question, in terms of -- in compliance with the requirements to remain a listed company, we have put a plan together, and we revised that plan once for the NYSE American, and they accepted our plan and we're executing against that plan. There are some things on that plan we're tracking very well against and others that we're not. I'm personally optimistic for this year. But -- as Eric mentioned, we can't give any particular assurances because they have -- the NYSE American has latitude to make decisions that we can't control. 
Operator: [Operator Instructions] There are no more questions in queue. 
Edward Grauch: Okay. If there are no more questions -- yes, is there more question? 
Operator: Yes, you do have another follow-up from Dave Cole. 
Unknown Shareholder: Okay. I thought there might be other questions. I'm not sure how many people are on the line, but since there weren't any. This kind of sounds like an interview question, but I was wondering where you'd like to see the company in 3 years, 5 years? And what basically -- is this going to remain a product manufacturing company? Or are there other lines of business that are being explored? 
Edward Grauch: Right. So I think the best way to characterize it is, during 2020, we completed a really significant set of product enhancements, product updates and, in some cases, completely new product introductions that were meant, and which were effectively the end of a long series of 3 years of investments to modernize the company's video processing delivery, video transmission product lines. They were updated to be more modern in light of most service operators making their transitions to IP Television or IPTV style, which introduce different technologies. They were updated to be more cost-effective and more dense to be more competitive in the marketplace as it has changed over the last 3 or 4 years. 
 They've been updated to hit the wider range of inputs and outputs and technologies, including the new codec technologies. So the end of 2020 was effectively the end of a major set of investments in the company to modernize our IP -- sorry, to modernize our video technology. What we're doing now is we're now broadening our engineering to be focused a lot more on data delivery technologies. And we're looking at wireless technologies, and we're looking to do some product introductions in 2021 that are more along those lines that are putting more of our investments in data delivery, because effectively, that's a more relevant set of technologies for service operators and media companies and anybody delivering any types of content into the home. 
 The big focus over the last few years has been the transition by the service operators. Telcos -- those are big telcos, big cable operators, fiber optic, municipal fiber optic companies and others that deliver services, telecommunication services in the people's homes around the country. 
 The big focus is data delivery, right? So we're investing in technologies in that space now. We're going to be planning to do some product introduction releases in the coming months. And that's the most immediate shift in the company's focus in the short term. 
 In the longer term, what -- and by longer term, some of those will actually -- some of these next things I'm about to mention will start to show up later in the year. We are going to be expanding services that we offer related to both our video and our data delivery products. We are going to be expanding in some other areas that we're investigating right now and doing business plans on that would have more incremental revenue and more recurring revenue elements to those products. So we're not going to be focused entirely on just being equipment manufacturing, but that transition will take some time, and we'll be -- I think it's fair to say some of these transitions will be done opportunistically and the analysis on the precision of some of those initiatives is not finished yet. 
 But we know long term, as a company, the best assets we have right now are U.S. based manufacturing, which we've gotten now to be very efficient over the last 12, 14, 15 months of a considerable amount of work to make it more efficient. Through those efficiencies, we're effectively cost reducing some products to manufacture them in the United States, keep that manufacturing in the United States, to the point where we'll have the potential for better margins on those products from what we can see. 
 And then that's -- that was the set of activities that was going to yield the fastest, shortest term return on investment. But we know, longer term, though, the company has got to be focused on what's the more relevant technologies and the more relevant movement of our customers, which is data delivery, over-the-top video, streaming services and software cloud technologies and platforms. 
Unknown Shareholder: Right. I'm glad to hear you say that. 
Edward Grauch: No longer -- right. I mean, I'm saying it, but it's -- I'm also speaking generalities, right? I don't want to misrepresent that we've -- that we're close to doing any sort of groundbreaking cloud-based platform. We know that that's where the company should be going long term and eventually, we're looking into different things. 
Unknown Shareholder: Yes. Because certain technologies that are key to growth these days, and you hit on a couple of them as being cloud aware and providing a service more than just warranty and support, but actually a service that it can be used globally. And that's key to business growth these days. And there's a couple of other things, but yes, right now, that's a good point. I'm glad you brought it up. 
Operator: [Operator Instructions] There are no more questions in queue. 
Edward Grauch: Okay. Well, thank you, everybody, for attending the Blonder Tongue Laboratories Q4 and 2020 Full Year Earnings Call. Appreciate everybody's attendance, and look forward to hearing from you in the near future. Thank you very much. 
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.